Operator: Good morning. My name is Pam, and I will be your conference operator today. At this time, I would like to welcome everyone to the GAP conference call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer period. Thank you. It is now my pleasure to turn the floor over to Maria Barona. Ma'am, you may begin your conference.
Maria Barona: Thank you, Pam. Good day everyone. I'm pleased to welcome you to the Grupo Aeroportuario del Pacífico, GAP's second quarter 2008 conference call. Please note that statements made today may constitute forward-looking statements, which do not account for future economic circumstances, industry conditions, company performance and financial results. These are forward-looking and are subject to a number of risks and uncertainties. For a complete note on forward-looking statements, please refer to the quarterly release which was issued last week. If you did not receive a copy of the report on Friday and would like to be added to the mailing list, contact us at New York at 212-406-3690. With us today from GAP are Mr. Jorge Sales, the company's Chief Executive Officer, Mr. Rodrigo Guzman, the company's Chief Financial Officer; Mr. Carlos Criado Alonso, Director of Commercial Activity; and Mr. Miguel Aliaga, Investor Relations Officer. And now, without further ado, I will turn the call over to Mr. Jorge Sales, the company's CEO. Sir, please begin.
Jorge Sales: Thank you, Maria, and good morning, everyone. Thank you for joining us for our second quarter conference call for 2008. This was a bit of a challenging quarter. For those of you who have been following the company in the past weeks, we have recently modified our guidance for the year, lowering our expectations in traffic growth, commercial revenue, EBITDA, CapEx, et cetera. The decline in our expectations was basically in response to the contraction of frequencies from the low-cost and legacy carriers, who have been affected by a worse economic conditions in the US, as well as high fuel costs. We have responded to this situation in an aggressive manner. Basically, we have -- we are focused on controlling expenses, delaying projects that were scheduled for 2008 based on traffic growth and moving them to 2009, making adjustments in internal budgets such as the reduction in personnel cost of -- for 9 million pesos for the full year, as well as a reduction of 57 million pesos in maintenance, security, insurance, utility and other operating expenses, for a total cost of service reduction for the full year 2008 of 66 million pesos, or 6.6%. To highlight that these adjustments do not comprise a reduction in the headcount or in those areas that affect safety, security and level of service, I want to reiterate that this guidance figures are just estimates for the market mean to manage expectations. We cannot guarantee any of these figures, nor will we be a big (inaudible). In terms of CapEx, we have modified current projects to reach savings for the year of 171.3 million pesos, by deferring these projects to 2009. We have also cancelled certain projects to save 51 million pesos. The cancelled projects were outside of the commitment as per Master Development Plan, and are no longer a priority due to the lower passenger traffic levels. Our goal with these measures is to take aggressive action in maintaining our margins, our cash flows and maintaining our bottom line during these challenging times. At the same time, we want to finish projects that have already begun, and that we consider important for the company in terms of generating returns. The projects we have delayed for a year are: in Guadalajara, the Terminal 2 expansion and Airport City follow their projects to continue; in Tijuana, the expansion of checking counters and security points; and in Los Cabos, the new Terminal 4 building and the refurbishing of Terminal 3. Also, we have been working to reduce our time [spent] for airport employees where possible, which was a result of the negotiations during the company reorganization at the beginning of the year. This effort resulted in a reduction in that line item during this quarter compared to second quarter of 2007. We began taking additional cost-cutting initiatives during the last week of May and the first week of June. So, we expect to see more concrete results of these airports in the third quarter of 2008. As can be expected from the aforementioned, we saw a decline in revenues from aeronautical services of 0.4%, mainly due to lower traffic. Non-aeronautical revenues, however, rose 6.7% in the quarter, mainly due to the car parking charges, which continued due to the increase of commercial revenues of 8.6 million pesos, as a consequence of the recovery of Tijuana car parking facility. In terms of traffic, as of the June traffic report, the low-cost carriers decreased their weekly service by 48, for a total 878 frequencies, and a total of 50 air routes operated by this type of carriers. Total terminal passengers declined 3.6%. This was driven by a 5% decline in domestic passenger traffic of 197,600 passengers, and 0.6 decline in international traffic of 10,900 passengers. Domestic passenger traffic increased in the airport of Guadalajara, Los Cabos and Puerto Vallarta. However, these did not offset the declines in Tijuana, La Paz, Guanajuato and Mexicali, which were affected by reduced operation for Aviacsa, Aeroméxico, Aeroméxico Connect, Avolar, Aerocalifornia, Volaris and VivaAerobus. International passenger traffic increased mostly at Puerto Vallarta airport due to tourist traffic. However, reduction from other airlines, Delta, American Airlines and Frontier caused an overall decrease of nearly 50,000 passengers. In conclusion, we know that the industry is going through difficult times, but we are confident in our ability to control the company fundamentals. And, as we have explained to our shareholders in our recent visits to Mexico City, we believe that GAP will be able to maintain its ability of paying significant dividends to its shareholders. At this point, I will turn the call over to Mr. Carlos Criado who will continue with a commercial report. Carlos, please go ahead.
Carlos Criado Alonso: Good morning to everybody. Carlos Criado, the Commercial Director is speaking. Non-aeronautical revenues, mainly composed of commercial revenues, increased this quarter 6.7% compared with the same period of 2007. This led us to a non-aeronautical revenue per passenger here of 32.5 pesos during the quarter, 10.7% higher than the second quarter of 2007. Aeronautical revenues decreased by .4%, which led us to a 99.75% of our maximum tally fulfillment. The Tijuana parking building and the new terminal departures and arrivals building in Puerto Vallarta were two key elements that helped maintain a consistent commercial growth rate. Terminal passengers decreased 3.6% in the second quarter, caused by the decrease of 5% of domestic passengers, and international passengers' reduction of 0.6%. Domestic traffic reduction is mainly due to the decrease of 183,600 domestic passengers at Tijuana, caused by the drop of some operations by Aviacsa, Aeroméxico, Mexicana, Avolar and Aerocalifornia to Guadalajara, México, Guanajuato, Monterrey, Morelia, La Paz, Uruapan, Culiacán and Los Mochis. This decrease is also caused by the reduction of 40,900 passengers at La Paz airport, due to the fact that Avolar and Aeroméxico left their location. However, Aeroméxico Connect has taken over some of the operations left by his partner. For Guanajuato, the decrease was of 38,700 passengers, caused mainly by price-sensitive travelers that in 2007 preferred to travel to the US via Tijuana, and in 2008, are traveling directly. It was also caused due to the fact that Volaris has stopped operating the route Guanajuato-Toluca, and because Aviacsa left this airport on May 12. During the second quarter, low-cost carriers transported 1.72 million domestic passengers, which represents 45.72% of domestic traffic in our 12 airports. It's also important to mention that, at the end of this quarter, weekly departure frequency were 878 and 58 routes operated by this kind of companies. During the second quarter of 2008, and due to the increasing fuel prices and operators being more focused on route profitability, airlines have mentioned changes on their routes and frequencies, dropping routes with very low yield. During this quarter, Aviacsa left three of our airports, and dropped an important amount of operations in other airports. We believe our domestic passenger growth trend will depend on different key drivers. Airlines will continue their strategy. Their strategy is focused on increasing the profitability for the routes, and reallocating their fleet or markets with higher yield and lower competition. And we think that the lowest load factor domestic routes were already left by the airlines. But the fuel cost will be remaining as the key factor for the -- of the future reallocation strategy. International passengers decreased 0.6% for the whole group. This decrease was mainly due to the fact that Guadalajara airport had a reduction of 49,400 international passengers, caused by the passenger decrease in routes with original destination to Chicago. ATA suspended operations at the beginning of this quarter due to financial problems. Denver, Frontier suspended operations caused due to routes we're arranging in Oakland, Ontario, Las Vegas, Atlanta and Dallas. At Los Cabos airport, the traffic reduction was due to traffic decrease in routes with original destination to the California [catchment] area, Seattle, Chicago, Salt Lake City, Minneapolis, Denver and Dallas. The decrease in Morelia was caused by the decline in the passengers traveling to and from Chicago and Houston. For Aguascalientes, the decrease was due to a decline in passengers flying with origin and destination to Los Angeles. It's also relevant to mention that international growth of Puerto Vallarta the traffic recovery involves with origin and destination to Los Angeles, Phoenix, Denver, Atlanta, Dallas, Houston, San Francisco, Vancouver, Calgary, Minneapolis, Oklahoma, Newark, Seattle and Montreal. It is important to mention that international airlines have made public their plans to decrease operations with origin and destination to Mexico. Delta has already announced that it is indefinitely leaving the Airport of La Paz, Los Mochis, Manzanillo and Guanajuato. Frontier has filed Chapter 11, and has decreased an important amount of its operations at Puerto Vallarta, going from 37 to 23 monthly departure frequencies during June, and at Los Cabos, from 90 to 20 monthly departure frequencies. Regarding the first half of 2008, domestic passengers have an accumulative growth rate of 3.3%, and international passengers 4.7%, if compared with the first half of 2007. Combined total passengers have grown 3.8%, and our guidance for the full year passenger growth is between minus 1 and 1%. On July 24, our authorities suspended Aerocalifornia, which at the end of June represented 6.1% of our total passengers. Aerocalifornia operated in 5 of our 12 airports, affecting the most in La Paz and Los Mochis. It had only two exclusive routes, Los Mochis - Obregon and Tijuana - Tepic. We'd expect those routes will be covered by the [Euro Alliance] in the next months. In this sense, Volaris has already announced its start of operations at La Paz airport, covering Guadalajara, Toluca and Tijuana since the 1st of August. Regarding our commercial activities, I would like to mention at the global level that car parking, food and beverage and duty-paid stores are right now the business units bringing in the most additional revenues, as they serve both international and domestic passengers, and even other consumers that are not necessarily passengers. At the end of the second quarter, we have opened 600 square meters of duty-paid and food and beverage spaces at Los Cabos airport, [ASPAT] or the Terminal 1 commercial redesign. During the third quarter, another 250 square meters will begin operating in this project. That allows us to expect a better consumption behavior of our passengers. This will be also supported by the forthcoming start of Porto Cervo campaign at this airport. We are going to open the new car park building at Guadalajara airport during the first week of August, which allows us to double the amount of spaces offered. We believe that the parking lot with fewer capacity constraints will stimulate our customers to increase the use of our facilities. Our accumulated commercial revenue growth rate for the first six months is 12.5%. Our guidance for 2008 is a growth between 10 and 13%. And our commercial revenue, per passenger, for the first half of 2008 is 30.7 pesos. If compared to the first half of 2007, it has grown 8.4%. In respect to our marketing strategies, during 2008, we are consolidating route committees for some of our airports with the main objective to promote new routes and frequencies. These committees are composed by local and the state government authorities, representatives from the most important hotel chains, and tourist infrastructure developers. We have already constituted La Paz, Los Cabos, Guadalajara, Morelia and Puerto Vallarta committees, being at this moment a key action to put all available resources from the agents in trying to keep routes, and even develop new ones, if possible. In the next few months, we will continue to have meetings with the low-cost and legacy carriers to consolidate their domestic operations at our airports, and also to promote the opening of international routes. We are mainly working to maintain the routes and frequencies that airlines are currently serving. Thank you for your attention. And now, Mr. Rodrigo Guzman, our CFO, will now comment on our financial results.
Rodrigo Guzman Perera: Thank you, Carlos. This is Rodrigo Guzman, Chief Financial Officer, speaking. First of all, I would like to say that the industry is going through a very difficult moment. Airlines worldwide are closing routes, and frequencies, while rounding all aircrafts that consume high amounts of oil. I'll lead you to the increase in fuel prices. Considering these changes, we consider that, despite the manner in which this is affecting the worldwide industry, GAP has remained very stable. We are focused on controlling the cost of service, and also, we are taking care of the cash flow in order to quite maintain our EBITDA and our income level, as well as keep a competitive dividend policy. We believe that the result of these efforts will be increasingly evident as we approach the last half of 2008. Having said that, I would like to briefly review the company's financials for the quarter. Revenues for the second quarter increased 1% to 8.82 million pesos. Total operating costs and expenses increased 39.3 million pesos, or 13.8% compared with the second quarter of 2007 (inaudible) to 19.1% high cost of service, principally due to an increase in our expenses of 37.2 million pesos. This increase was produced mainly because of the approval by our Board of Directors in April 2008 of any policy of reserve for doubtful accounts, to include a passenger charge reserve that affected our operating costs, increasing that line in 20.3 million pesos. Also, that line item increased 9.2 million, mainly due to a one-time cost of 7 million pesos for legal advisory during the corporate restructuring, and 2.8 million pesos due to the start of operations of a Common Use Terminal Equipment in certain airports during the second half of 2007 and the first quarter of 2008. Note that this system increased the efficiency of the space from (inaudible). This is saving us from having to expand the capacity of the terminals in future years. And so in the long run, this will mean a lower capital. The company's operating margin decreased to 41.1% with respect to the second quarter 2007, primarily due to the lower revenues and the increase in expenses related to the reserve in doubtful accounts, to include the passenger charge and receivable and the one-time payment to our advisors related to our corporate restructuring. Adjusted EBITDA margin declined to 63.4% in the second quarter of 2008. Also, the margin in the quarter declined to 63.4%. In the first half of 2008, the EBITDA margin remained healthy in 67.1% with an increase of 3.9% or 45 million pesos versus the EBITDA in the first half of 2007. We believe that we will end year 2008 with an EBITDA margin of between 64.5% to 65.5%. The comprehensive financial results increased 47.3% in the second quarter 2008 to 12.3 million pesos, mainly due to interest payments on bank loans of 11.4 million pesos, as well as charges through the variations in the US dollar exchange rates of 5 million pesos, offset by a 4.1 million pesos gain from implicit derivatives. As we mentioned in the press release, GAP did not recognize an effect on its monetary position from the second quarter 2007 -- sorry, second quarter 2008, compared to a monetary loss of 4.3 million pesos in second quarter 2007, as a consequence of the NIF B-10 Effects of Inflation. As a result of the above, income before taxes declined 58 million, or 13.6% during the second quarter 2008. The provision for income taxes and employee statutory profit sharing declined in the second quarter 2008 from the second quarter 2007, because, beginning January 1st, 2008, the NIF B-10 Effects of Inflation will only be used in the accounting when the cumulative inflation for this past week consecutive fiscal years reaches 26%. While for tax purposes, the assets remain affected by the inflation, creating a positive effect, and therefore, the taxes were approximately 52 million pesos, producing an effective tax rate of 13.8% in the second quarter of 2008. Via this benefit, the effective tax rate will have been 28%. As a result, net income rose 30 million pesos, or 10.4% when compared with the second quarter of 2007. On the balance sheet, I just want to mention that at the close of the second quarter of 2008, the company maintained a balance of cash and cash equivalent of our approximately 1.524 billion pesos, of which 516.4 million are derived from the unused balance of bank loans received by some of the company's airports for payment of the Master Development Plan, representing that the cash owned by the company at the close of the second quarter 2008 was 1.7 billion pesos, 19.8% or 156 million pesos higher, compared with 841.2 million pesos that the company had at the end of the second quarter of 2007. Lastly, the asset "Deferred income taxes" increased 461.6 million for the second quarter of 2008, from a change in NIF B-10, for the amount 113.6 million pesos increased in deferred income tax reported in the fourth quarter of 2007. Adding some more details on the suspension of Aerocalifornia, as Jorge and Carlos previously mentioned, it's going to affect mainly the airport of La Paz and Los Mochis. While both airports represent internal passengers, that base of passenger charges is 3.4% of the total and 3.2% of our entire revenue. And also, we strongly believe that the routes that will be served will be taken by the rest of the airlines remaining in the market, Volaris and everyone else. Finally, I want to mention that even though market conditions for the industry are challenging, GAP management and airport managers remain committed to the fulfillment of our budget and obtain our objectives for 2008. Thank you for your attention. And now, I turn the floor to Miguel Aliaga, our Investor Relations Officer.
Miguel Aliaga: Thank you, Rodrigo. This is Miguel Aliaga, IRO. I just want to briefly mention that, following the guidance press release that we sent out, we went to investors and analysts in New York and Mexico City, and we had conference calls to discuss the new figures and how we are handling the situation. The new guidance was profit growth between minus 1 to 1%, commercial revenue growth between 10 to 13%, aeronautical revenue growth between 2 and 4%, cost of service growth between 11 to 14%, EBITDA margin between 64.5 to 65.5% and CapEx between 1.2 billion and 1.7 billion pesos, depending on baggage screening systems. I want to reaffirm our reason for the meetings and the press release. Despite the economic conditions and the difficult environment in the airline industry that we are facing, we are guarding the EBITDA margin, which will remain at similar levels than before. We have run several analyses with respect to worst case scenarios, just to get an understanding as to how our cash flow will react under different scenarios. What we can see is that in the most negative of cases, which we do not expect, the cash flow will remain stable. This is important because the manner in which the company is structured, and the manner in which we generate revenues, enable the company to withstand the effects of weakening traffic with a relatively lesser impact to cash flow. We believe that there are a variety of (inaudible) and the ones that are financially solid will survive. We have been discussing this for a long time. We knew that it was inevitable that with the competitive pricing, and the dramatic increases in frequencies in the past year, there would undoubtedly be some consolidation. That is what we are seeing. Add to that the increasing fuel, and the consolidation was speeded up. However, there are legacy carriers and low-cost carriers that have a sound business model and are very strong. It is also important to mention that a large volume of passengers move is being done by more than one airline, assuring that there is no exclusivity in most of grassroots. So, if an airline goes out of the business, there will be some short-term effects, but on the long run, those passengers will be moved by the remaining ones. We estimate that, as all the market conditions are absurd, and the airlines adjust their operations, there will be a stabilization and then a return to growth. We are committed to controlling our costs and in maintaining dividends, always maximizing them. The buyback stock fund was authorized at the General Shareholders Meeting last April with a maximum amount of 55 million pesos, expecting that in the future this amount will increase. As of today, we have acquired 320,000 ordinary shares with the only objective to give confidence on the price levels we see as clear opportunities to invest in GAP. I think all of us here at GAP know how important shareholder value is and we are focusing on it. We will continue working on always being professional, and being in close contact with investor community, particularly during difficult industry conditions. Thank you for your attention. Operator, may we proceed with Q&A?
Operator: (Operator Instructions). Thank you. Your first question is coming [Allan Solis] with Credit Suisse. Please go ahead.
Vanessa Quiroga - Credit Suisse: Thank you. This is Vanessa Quiroga with Credit Suisse. I have a question regarding the seat supply at GAP's airports. Would you be able to give us a -- or what percentage the seat supply have been reduced up to-date since December 2007 for each of the segments, domestic and international? And the other question would be regarding your new guidance for aeronautical revenues. I can see that that it doesn't go down as much as your report that's for passenger traffic. So I would like to better understand what's the driver for this resilience in aeronautical revenues? Thanks.
Jorge Sales Martínez: Vanessa, could you repeat the first question?
Vanessa Quiroga - Credit Suisse:  Yeah, sure. If you have a number, by what percentage the seat supply at GAP's airports have been reduced by airlines?
Jorge Sales Martínez: No.
Vanessa Quiroga - Credit Suisse:  Seat supply.
Jorge Sales Martínez: In terms of number of seats, we don't have airline-by-airline.
Vanessa Quiroga - Credit Suisse:  And in total for GAP?
Jorge Sales Martínez: Yeah. Well, we -- I think we are handling for May -- for June 2008 in comparison of results what was in June 2007, we estimate that around 200,000 seats have been cancelled from -- in GAP environment. I mean, not in the entire industry or the Mexico market, but just for GAP. Around July -- you have the final data for July. Alright. Go ahead.
Carlos Criado Alonso: Vanessa, I have the information of what is the level of the reduction of seats in July compared to July last year. I don't know if this will help you. The reduction of seats is 18% according to the OAG's database that we use to assess that. The question is that obviously this is going to be covered in many cases for with the better load factor. Okay? And this is the figure that we have, and there is some more information about [LMI Airline], but in general, there is 18% less seats in July -- than last July.
Vanessa Quiroga - Credit Suisse:  That is helpful. Thank you.
Miguel Aliaga: And regarding the guidance for aeronautical revenue, the explanation is very easy. Not all the airports have the same maximum tariff allowed. So, that means that the main drop we have had is in Tijuana airport and the maximum tariff in Tijuana airport is very low compared to the maximum tariff of Puerto Vallarta or the maximum tariff of Los Cabos where we expect to have, in some cases in Vallarta, even positive traffic. That is what makes that the growth of aeronautical revenues is a little bit higher than the expectation of traffic.
Vanessa Quiroga - Credit Suisse:  Okay. Thank you.
Operator: Thank you. Your next question is coming from Steve Trent with Citigroup. Please go ahead.
Steve Trent - Citigroup:  Good morning, guys. Two quick questions from me. First of all, looking at the commercial revenue per passenger, I understand that some of your contracts basically guarantee you a flat rate, so to speak, independent of passenger traffic. If you have passenger traffic falling at some places do you see risk of your commercial parties not paying these flat rates? The other question is looking at LCC versus interstate bus, have you seen any movement at all that some of the price-sensitive customers are moving back to bus as ticket prices and fuel prices have risen?
Carlos Criado Alonso: I will take that. Carlos Criado speaking.
Steve Trent - Citigroup:  Hi, Carlos.
Carlos Criado Alonso: Well, regarding the commercial revenue, you are completely right. One of the guarantees that we have is that we are not 100% depending on traffic growth for the commercial revenue. This is an advantage when the traffic -- because the commercial -- is an advantage, but it's an advantage also, because when the traffic goes very high, it grows a lot. The commercial revenues do not grow at such a speed, but it's an advantage when it happens the opposite. When the traffic does not grow, the commercial grows. The risk of our customers to leave or not to pay their rent, at this moment haven't had any problem with this. It is not such a disaster of traffic going down, like I remember when the hurricanes or these type of things that this was a real problem for people here, because there is no passengers. But I don't feel there is a risk at this stage. Even we believe that we could maintain very well the guidance that we had to offer of 10.13.
Jorge Sales Martínez: This is the yield. What would happen, then, is maybe some that go out of the business, the same thing in airlines, but that's positive, because then eventually we can get some more, stronger financially, in commercial spaces. It is something that couldn't be generalized. It's not that we will see empty spaces in the airport. We haven't seen any symptom of any of our customers thinking about that. And regarding the low-cost carriers and the buses, obviously some of the reduction of passenger is because now their prices are higher and passengers that are coming back to the bus. But we are working together with the buses in order to establish in some of our airports what we call central connection multimodal, that is to say a kind of bus station at the airport in order to try to improve connectivity of the catchment area of the airport. This is a project we are working at Guadalajara airport and that I believe that we are going to be ready to start operations at beginning of the year. We have series -- they have large conversations with the main bus companies. And these I think will help not only to improve to increase traffic, but also we are going to have some commercial areas in this bus station. And this will give us the chance of improving also our commercial income. In these times, it's much better to have alliances with the bus, but noting that they are taking our passenger.
Steve Trent - Citigroup:  Okay, very clear. Thanks very much, guys
Operator: Thank you. Your next question is coming from [Esteban Polidura] of Merrill Lynch. Please go ahead.
Esteban Polidura - Merrill Lynch: Thank you. Good morning, Jorge, Rodrigo, Carlos, and Miguel. Two questions if I may. First, can you please repeat some of the measures you are taking to cut cost and increase commercial revenues that did not have any material impact this quarter, but that you expect to have a benefit in specialty margins during the next quarters, third and fourth? And second question, do you expect to do more provisions for doubtful account in the remainder of '08?
Rodrigo Guzman Perera: Esteban, Rodrigo Guzman speaking. As we mentioned during the conference call and during the meetings that we already had with all the analysts and the investors in New York and also in Mexico City, the first thing that we did is we delayed some projects that went out of the Master Development program. As you can see, the expansion of the Terminal 2 in our airport for Guadalajara was out of the Master Development program because it changed about because of the increasing traffic. As the traffic declined, we delayed that investment. Delayed investment in that investment that will increase the capacity of the terminal. Of course, there are some costs, but that's already cut because of that delay. Also, we have been working very hard to get some reductions in cost in some lines, for example, in the line of insurance we can contract a very good policy with a fair conditions, but lower prices. We already contract two of them, the D&O and also the civil responsibility insurance with a very good coverage, but lower prices. Also, we make some reductions in (inaudible) of the company for around 9 million pesos, and all of those reductions were about the adding 166 million pesos or 6.6% lower than we had in the budget at the beginning of the year. So that's our guidance in increasing cost of service was in the beginning of the year between 16 to 17, and right now we have it 11 to 14.
Carlos Criado Alonso: Carlos Criado speaking. Regarding the increase of commercial revenues during the second semester, we are going -- as I said in my speech, we are finalizing the redesign of Terminal 1 in Las Cabos with some new commercial, We expect that they will give us additional revenues compared to this first semester. And also it is important to consider that Guadalajara car park is going to reopen. The new car park is going to start operations in a few days, the beginning of August. This will give us, again, the income that we had in the past, because if you see we have some loss of income during the works of the car park. So these recover and the Terminal 1 at Las Cabos, I think, is going to help us to maintain the guidance. Also, I think it's important that we are going to work very hard to improve and to create new businesses out of the terminal, such as the one that I mentioned of the bus station in order to prepare for improving the income -- commercial income for next year.
Esteban Polidura - Merrill Lynch: Okay.
Carlos Criado Alonso: They are also related with doubtful accounts. We need to remember that it is how we serve. That doesn't mean that we do not continue working with the airlines to recover that reserve. As we have that case in the case, for example, with Aerocalifornia. Aerocalifornia, we stopped them, the credit since February 2008, so that in this moment we have only $1 million in receivables with them. But we continue working with them to receive the payments. And in fact, we have been done -- they have been done those payments on Friday the last week. Also, we have the same process in other cases and we are having some contracts. We are negotiating with them some things in order to receive the payments. So, that reserve could be used or also some other airlines could be in some problems, and then we -- with the reserve. But we don't really know. I mean we're having reserve, the doubtful accounts that we have in this moment, and I would say what's created following exactly what our Board of Directors approve in the policy for doubtful accounts.
Jorge Sales Martínez: Jorge Sales speaking. It is worth to mention that in our doubtful accounts, large part of what is there for certain airlines is due to the passenger charges, and then when something like what has happen to Aerocalifornia or if an airlines goes to Chapter 11 or whatever, the nature of that debt to us is different from the other commercial debts, Which means that we have priority because these amounts in the Mexican law cannot be mixed with the commercial debts. Debt should take priority because this is a lot money that has been collected on behalf of GAP because of the decree that was established to get passenger charges through the ticket. So, it's the money that the airlines are collecting on our behalf and should be -- and should have first priority or treated separately from the rest of the debt.
Carlos Criado Alonso: And also, I need to say, Esteban, that in the case of the comfort service, in our guidance -- in the guidance that we have already included that reserve. So, that means that we have been working very hard in order to control the cost even with the reserve inside that guidance.
Esteban Polidura - Merrill Lynch: Perfect. Thank you very much.
Operator: Thank you. Your next question is coming from Nick Sebrell with Morgan Stanley. Please go ahead.
Nick Sebrell - Morgan Stanley:  Hi, gentlemen. Two questions. First -- and I apologize if this is being repeated, but I missed part of the call. Could you just give us an update on the guidance? I mean, specifically, what changes in the CapEx for 2008, 2009, and are there any other line items that change compared to what you previously released? And the second question is if you could just give us an update on, rather discuss, give us some color on the traffic delta, particularly at Tijuana. When do you think you might get visibility to Tijuana traffic improving? Do you think that the bus initiative that you mentioned might help Tijuana in particular? Those are my questions. Thanks.
Carlos Criado Alonso: In the case of CapEx, the most important, the ones that we delay until the next year and also we are planning to delay it into 2010, and including that, those figures in five month -- for the next five-year period. This is the case at the Terminal 4 in the airport of Los Carlos as of course mentioned in the speech. That investment, that new terminal, came about because of the increase in traffic in that airport. But the the traffic is not increasing at the same rate as we expected when we started that project, we believe that that investment could be included in the next month [program] -- the one that's left to be done. And then we can -- and then that is the biggest part of that delay in investment. The second part, as we mentioned, is a terminal -- expansion in Terminal 2 in the airport of Guadalajara. The delay was because of the same reason.
Nick Sebrell - Morgan Stanley:  Right. So, combining all these things, we're looking at CapEx that could be low, could be below $1 billion this year, $1 billion pesos?
Carlos Criado Alonso: Yeah, of course, for sure.
Nick Sebrell - Morgan Stanley:  So, okay. Because the Master Development Program or because the mandatory development program is for 430 million, if I remember correctly?
Carlos Criado Alonso: Yeah.
Jorge Sales Martínez: Let me see.
Nick Sebrell - Morgan Stanley:  Or thereabout?
Jorge Sales Martínez: Yes, thereabout.
Nick Sebrell - Morgan Stanley:  Is it possible to cut it down to just the MDP or are we talking about 800 or...
Carlos Criado Alonso: I think the investments in 2008 will be surrounding 1.2 -- surrounding 1 -- If we take out the baggage cleaning and we made baggage clearing there in the first half of the next year...
Nick Sebrell - Morgan Stanley:  Alright.
Carlos Criado Alonso: Less than 1 billion of course.
Nick Sebrell - Morgan Stanley:  Okay. And then moving to baggage screening for next year, you probably have something close to your original guidance -- well maybe not guidance, but we had maybe, say, 700 million?
Carlos Criado Alonso: Yes, around that 700 to 800 million if we do all baggage screening till 2009.
Nick Sebrell - Morgan Stanley:  Great. Okay. Thank you… sorry, go ahead.
Carlos Criado Alonso: Carlos Criado speaking. Regarding the situation of traffic in Tijuana, obviously to grow now with a important growth that we have during the last two years in Tijuana is going to be very difficult. And the reality I think is to try to keep and maintain as much as possible the levels of traffic that we have now. There are some good new, because although there are airlines that have left the airport and possibly there will be other airlines that in the so future could have also some difficulties to keep the flight, but there are also airlines like Volaris that are improving considerably their operations in Tijuana. So, with these, we believe that probably the loss will not be very, very high. It's also tha, regarding the buses, in Tijuana, there are an important number of process moving to the catchment area mainly to the United States. And there, we have now not a bus station asset. And our plans for next year is to construct a bus station there in order improve this type of connectivity and also to improve our commercial revenues.
Nick Sebrell - Morgan Stanley:  But would you be able to co-market that with the bus companies? I mean that’d be something that they could use their distribution channel as well as to their own market; market your tickets or not market your tickets, but market your service, that it exists.
Carlos Criado Alonso: Mainly in Tijuana, the markets are saving the United States market. So that is good, for if we improve and we strive that connectivity and we facilitate that at the airport, obviously the fact of flying to Tijuana to take advantage will be easy to do. And that is the area because some of the success of Tijuana, during the last two years have been precisely that, that the people flew to Tijuana to go to United States.
Nick Sebrell - Morgan Stanley:  Understood. Thank you.
Carlos Criado Alonso: That’s okay.
Operator: (Operators Instructions). Your next question is coming from Miguel Escobedo from Noriega y Escobedo. Please go ahead.
Miguel Escobedo - Noriega y Escobedo:  I would like to make two questions. The first question is regarding the Tijuana Airport. I understand that is a project cooperate with the south of the state to Southern California to turn this in to a binational airport. How are these projects going ahead? And the second problem I would like to ask you about is, Volaris is the only company that did not ask for subsidy in oil consumption. I understand the other ones did and therefore, Volaris was the only company that, in fact, tremendously increased their rates. Why have the other companies increased their rates, the applying rates as well or haven't they done that yet? And what is the effect being on the traffic?
Jorge Sales Martínez: Alright, Miguel, this is Jorge Sales. Good morning. First question about the Tijuana binational project, tell me now the project this is fully alive and the development of the area and the project is continuous from both sides, the US authorities and the Mexican authorities as well. There are bilateral conversations and the little progress on what the authorities in California are doing in order to [research] the market and to have the opinion of the future passengers and all that. So steps have been taken, and although our role in that is to support whatever they need in order to develop the project and to help on that. And we are not the leaders for that, we are informed of the progress that is being taking place. And therefore, we believe that in the future this project could be a reality.
Carlos Criado Alonso: Commercial Director speaking, Carlos here. Regarding your question about Volaris, the only thing we can say because, obviously, it's up to them to ask for subsidies or not for the fuel, obviously, I think all passengers know that due to the crisis, ticket prices have gone up. But I will like to just to be more precise in what is the amount of bill that Volaris has had in our airport in Tijuana. From 2007 to 2008, they have increased 61%, the number of operations that they have in our -- in Tijuana Airport. Sorry, 40%. This 61% is in Guadalajara, in Tijuana it's 40%. That is an important amount passing from 360 operations to 505 operations. And they opened a good number of routes in Tijuana. Obviously, we have the policy of incentives as you know for new routes and Volaris has other airlines that are opening new routes and new frequencies they have our support in that sense.
Carlos Criado Alonso: And with regard you specific vision of whether Volaris has been the only one increasing the fuel prices, or the others are doing that? We know Volaris put some additional charges for fuel, but we are not fully aware of what the others are doing. We know that the government has already granted permission to increase that charges up to 15% and is up to the airlines to decide whether they like to do it or not. And we have that information.
Miguel Escobedo:  Well, believe my question is because my understanding is that Volaris did increase the charges and that effected 90% of their capacity. And if this is true, the fact that other companies will increase their rates and probably not knew the mark of their business could be very interesting for our project.
Jorge Sales Martínez: Well, fine. That is good news. But we have known that, as I said that we've known that information. And of course, if an increase in fuel charges within the ticket price, that's not had an affect on the load factors. That is good news anyway. And the other airlines should be benchmarking what Volaris has been doing I presume.
Carlos Criado Alonso: I would like to go also back to the question of the airport in Tijuana. Although as I explained, it is not completely in our hands, the negotiations that were put up (inaudible), I do think that we might try and consider putting ideas within the committee or whoever is negotiating it, so that the people who fly into Tijuana, and the States have less of a problem to cross the border than they do if they are going by bus. I understand it is taking them approximately three hours to get across if they go by bus. But on the other hand, if they do it by national airport, it will take less. It would also help our traffic a great deal.
Jorge Sales Martínez: I didn't fully catch all what you have said, but anyway, I believe you have said something of having some of our presence within the committee or something like that that is [treat] indeed. We are having our airport administrator there, Enrique Valle that attends the meetings, and he's been invited to all meetings that have an importance on the development of the project. And we are also giving all the information that these committees are getting out of their job. But for us, this is just a project that we, as GAP will facilitate us the best two of our airports, the success of the project if the authorities consider that they would like to carry on with that. So, it is all what I can tell. We are fully committed to help in order to get that project a success. But it is, as I said, completely out of our hands on the final decision.
Carlos Criado Alonso: And also, if we need to make some investments in that line, if we need to do something in our part of the history, we are going to do it. And then...
Jorge Sales Martínez: We'll consider them and analyze them. But for sure, we will make our best effort, means that anything that needs to be done. If the project reaches a stage that depends on what is to be done in Tijuana airport from our side, then we will fully look at that and support that to the best of our possibilities.
Operator: (Operator Instructions) Thank you. Your next question is coming from Vanessa Quiroga with Credit Suisse. Please go ahead.
Vanessa Quiroga - Credit Suisse:  Yes, thank you. Just a question regarding your activity of promoting new routes that you're talking about with international, new foreign airlines. Under any scenario, do you expect giving significant discounts for these airlines to come back with their routes? That would be the question. Thanks.
Carlos Criado Alonso: Well, our policy, we have an agreement with Canaero, the association for airlines, that have established discounts for the opening of newer routes. Obviously, there are some specifications and depend on the character or the nature of the route. If it is very, very strategic, we have the possibility of improving that. But it is depending on how strategic is the new route that is going to be run. We are mainly keeping to our policy of discount. And at these times of decrease of what we expected last year, we cannot improve a lot our policy of discounts. Nevertheless, to highlight that these discounts are based on airport services is not a discount of passenger charges.
Jorge Sales Martínez: That's right.
Carlos Criado Alonso: Our policy is to maintain passenger charges of 100% for every airline, not discounts on that, only on airport services.
Vanessa Quiroga - Credit Suisse:  Okay. That's perfect. Thanks.
Carlos Criado Alonso: Thank you.
Operator: Thank you. Your next question is coming from Patricia Rivera with (inaudible). Please go ahead.
Patricia Rivera: Yes, good morning. My question is regarding the new parking lot you talked about in Guadalajara. When this starts -- where they are reflected in the results and by how much?
Jorge Sales Martínez: Well, it's going to be, well, the parking lot is being constructed on the current parking lot. That is what has been the problem with the works that caused a lot of problems obviously for the passengers to use; we had the works. The parking lot is going to be ready, as I said, at the beginning of -- practically next week. And the capacity we are going to have now in Guadalajara is around 3,000 spaces of parking. So, I don't remember positions. And this is almost the double of what we have before. So, with this, I think we have a car park for the next [NGOs] without any problem.
Miguel Aliaga: Yes, Patricio, it's Miguel Aliaga. As Carlos mentioned, it is a (inaudible) we're double in size, it doesn't mean that that the next day we'll have the four-wheeler parking lot full of cars. Hopefully that happens or radiates. So, eventually, during the course of the month and the years, we will have more passengers, because now it's an opportunity to have a larger space.
Jorge Sales Martínez: And we are going to have campaigns to announce that the new parking lot is ready in the city for people that suffer the works during the last months. They have the confidence of coming back to the airport to the car park.
Miguel Aliaga: I would like to add that due to the inconveniences that the passengers experienced during the construction, some of them decided to come by taxi to the airport or some others to use alternative means. But nevertheless, now with a new building opened with 1,000 positions in the new building and the other, the remaining that will be opened with the new facilities, because [valet] parking will be now inside the building and the operation of that facility will be quicker, very much convenient for them. We expect the return of our passengers that were using the car park before to normal. Queues will no longer be there, because entrances, the queues are not longer there since some months ago, because we opened and operate all the entrances on a continuous basis. So, eventually we know that there will be an increase in this type of revenue for Guadalajara airport.
Carlos Criado Alonso: And if I may say also that we are going to change our system of operating the car park. We are going to park now to an automatic system where it's going to facilitate also for passengers to have a better quality of service and not to have queues because now we have a manual system.
Jorge Sales Martínez: In addition, we have renegotiated a contract with the operator of the car park as well, so that will have a positive income; a positive impact in our income. So, so far, I think for that car park those are good news.
Patricia Rivera: Yes. And then, another question, thank you. About commercial revenues, how much of the commercial revenues are fixed and doesn't vary with passenger traffic and how much are variable?
Carlos Criado Alonso: Yeah. Well, we have an assessment that more or less are on 30%, of one third of the -- how to explain it? Of the full, for example -- I would put an example. If there is a 10% of increase of traffic, the amount of the percentage of commercial increase that will be directly related to the traffic is about one-third. Okay?
Patricia Rivera: Okay.
Carlos Criado Alonso: This is in terms with traffic. And in terms of how many contracts we have related to not-fixed rent, but invariable rent is more than 85% of our contracts. But it is true that in many cases the contract, the customers do not pay over the fixed rent.
Patricia Rivera: Okay.
Carlos Criado Alonso: Thank you.
Operator: Thank you. There are no further questions. I would like to turn the floor back over to Mr. Jorge Sales for any closing comments.
Jorge Sales Martínez: Thank you very much. Thank you very much everybody for attending this conference call. We feel very optimistic despite the business environment. We know that GAP is fundamentally a solid business and that as long as we are up quickly and maintain our operations to the best of our ability, we will be able to weather the upcoming challenges. We have both seen the ups and downs of the airline industry. But I just want to mention that we are not an airline. We are a very diverse concept and we operate in markets that continue to attract attention from the international and domestic travelers. We expect to be here for a long, long time and we look forward to hearing from you in the next quarter. Thank you, again, and have a good day.
Operator: Thank you. And this concludes today's GAP conference call. You may now disconnect your line and have a pleasant day.